Operator: Good afternoon. My name is Kelly, and I will be your conference operator today. At this time, I would like to welcome everyone to the Trimble First Quarter 2014 Earnings Conference Call. [Operator Instructions] Lea Ann McNabb, you may begin your conference.
Lea Ann McNabb: Good afternoon. I'm here today with an Steve Berglund, our CEO; and Francois Delepine, our CFO. Before we begin, I'd like to remind you that the forward-looking statements made in today's call and the subsequent Q&A period are subject to risks and uncertainties. Trimble's actual results may differ materially from those currently anticipated due to a number of factors detailed in the company's Form 10-Ks and 10-Qs or other documents filed with the Securities and Exchange Commission. During this call, we will refer to a press release, which is available, along with additional financial information on our website at www.trimble.com. The non-GAAP measures discussed in the call are reconciled to GAAP measures in the tables to our press release. Let me turn the call over to Steve.
Steven W. Berglund: Good afternoon. The first quarter included both disappointment and reassurance. The disappointment was focused almost exclusively on agriculture, which did not maintain the relatively strong growth we saw in the second half of 2013 and actually declined year-to-year against our expectation of growth for the quarter. On the other hand, most of the rest of the company's businesses exceeded the expectations we held at the beginning of the quarter. In aggregate, the other Trimble segments, excluding the Field Solutions segment, grew by over 14% year-over-year. Particularly encouraging was the growth in construction, core transportation and logistics and Geographic Information Systems. The other notable positive aspect of the quarter was the improvement in both the non-GAAP gross margin and operating margin as a percentage of revenue. This improvement occurred in spite of the decline in agriculture revenue, which carries strong operating margins. The non-GAAP operating margin for the 3 segments, excluding Field Solutions, grew by almost 40% year-to-year. The 16% year-to-year growth in the E&C segment was in spite of a market that remains constrained against historical standards. The catalog of constraints include Europe which while showing a few signs of life remains a weak construction market. The U.S. is showing signs of continuing improvement in commercial and residential construction, but Congress and the Administration have not resolved key infrastructure questions such as highway funding or the Keystone Pipeline. Effective action in these cases will produce meaningful benefits for our heavy civil and survey markets and to our results. Major international markets either remain in distress, such as Australia, or are drifting, such as Brazil. The reason for describing the current limitations of the E&C market is to make the point that the core construction business is growing more on the strength of penetration and less on the underlying strength of the market. We believe that technology is entering the mainstream and the multi-trillion dollar construction industry and that the rate of adoption is accelerating. We believe we also occupy a unique position in the construction market, with a portfolio of solutions that cover both the civil and building construction, and that can integrate both hardware and software across the entire workflow continuum. The response we've received at the CONEXPO tradeshow in the quarter validated this belief. While individual quarterly results for E&C will be lumpy given the uncertainties in the individual markets, we believe the secular trend for the construction market is stronger than at any point in our past. Subject to continuing qualifications about market conditions around the world, we expect a stronger 2014 market for E&C than we had in 2013. Currently, we are anticipating agriculture sales to stabilize in the second quarter, but given the surprises of the first quarter, we have been cautious in our outlook. Our issues in agriculture are primarily focused in North America although we are expecting to see a negative impact on revenue in Russia and Ukraine because of geopolitical uncertainties. The North America issues included weather for the second year in a row, which included drought conditions in the west and extremely wet conditions in much of the east, which kept farmers out of the field for much of what is usually a high activity period. In addition, the inventory of agricultural machines, both new and used, is running high, and we may be seeing more spillover into the market for agricultural technology than we originally anticipated. In addition, we may also be seeing some secondary effects from our strategic transition of the agriculture channel from a relative historical focus on hardware to a growing emphasis on solutions that enable data-driven decision making. This change of emphasis requires a remapping of skills and capabilities within the distribution channel onto the market, much as we have been implementing with the SITECH and building point construction distribution channels. The secular growth trend we are seeing in construction is mirrored in agriculture and reinforces the belief that the agricultural market can support double-digit growth over the long term. This next stage of growth in the agriculture technology market will be driven by a transition from a focus on vehicle guidance and control to a full integration of hardware, software and services that will maximize productivity across the entire farm. A specific example of this change in emphasis is our introduction of the Irrigate-IQ in the last 2 weeks. This release augments our past releases of variable rate control hardware and software, which have expanded the Connected Farm. Just as our construction business is migrating steadily away from a reliance on point technology solutions, agriculture is migrating towards whole farm modeling, which will balance input decisions, planting and fertilizing options and investments. This is the essence of our Connected Farm strategy in which we intend to provide a brand agnostic solution to allow the grower to plant, see and manage its total operation end-to-end. Our product portfolio of the future will consist of sensors, software applications, professional services with distribution partners playing a key role. While it appears we may have been over optimistic on the revenue potential for agriculture in 2014, we believe the growth potential for the industry remains in place and that we can play a central role in the coming transformation. The other major Field Solutions element, Geographic Information Systems, had a strong growth in the quarter reversing the significant slide we had last year. The Mobile Solutions segment provided us with year-to-year revenue growth in the quarter with particularly strong non-GAAP earnings growth. This result represents a mixed environment. The core of the segment is what we call transportation logistics, which accounts for roughly 3 quarters of the segment. These businesses grew revenue and earnings in double digits. The relative dregs in the business for field services, which was partially affected by delays in major contract awards, construction supply and public safety, which is only now beginning to recover from the 2009 meltdown of municipal and state finances. Within the Mobile Solutions segment, the rapidly improving health of the financial model allows us to more confidently emphasize growth. Growth in the segment will come from emphasizing enterprise solutions and geographical expansion as we continue to move away from track and trace functionality as the source of primary value. We are reinvesting some of the segment margin expansion back into accelerated R&D during 2014, which will begin to beneficially impact revenue growth in late 2014 and into 2015. The aggregate results for Trimble in the first quarter reflected a stumble against the improved standard we reestablished in the second half of 2013. This break in momentum is unfortunate because it camouflages what is occurring strategically. At the Analyst Day in June, we will be laying out our updated analysis of the market potential across Trimble's businesses and the actions required to realize that potential. This analysis produces a path to double-digit revenue growth for the long term. Part of this growth results from increased penetration of markets as they are currently defined. The rest is from the redefinition of markets that is made possible because of advances in technology. This redefinition provides us with an expanded role in a significantly larger market, which is substantially unpenetrated. The potential total market in our core areas of construction, agriculture, transportation and geospatial is well in excess of $25 billion, which we believe is currently around 25% penetrated. The core of our strategy will be to be the leader in the penetration of these markets and thereby, claim a disproportionate share of that future penetration. Although we're value add, we'll remain focused on a bundled hardware, software and services. Much, if not most of the expanded solutions set will be built around providing answers based on analytics associated with very large data sets and access through a SaaS solution. The physical implementation will then typically require a tight integration between the software solution and hardware. We look forward to providing a more extensive explanation on June 4. Let me turn the call over to Francois. Francois?
Francois Delepine: Thank you, Steve. Good afternoon, everyone. As Steve mentioned, this was a contrasted quarter with healthy growth in Engineering and Construction, Mobile Solutions and Advanced Devices offset by a challenging quarter in the Field Solutions segment. I'd like to remind you that unless otherwise noted, the operating results I will discuss will be on a non-GAAP basis. The reconciliation from GAAP to non-GAAP numbers is available in our earnings press release, along with the financial data by segment. Unless otherwise indicated, growth rates are meant to be year-over-year growth rates. So let's now discuss the results for Q1 '14. Total revenue was $605 million revenue -- $605 million, up 9% year-over-year. As Steve discussed, we saw broad-based growth in the quarter with the exception of our agricultural business. Engineering and Construction grew by 16% with strength across the portfolio including Trimble buildings, heavy civil and survey. Field Solutions revenue was down 6% with agriculture revenue down single digits offset by double-digit growth in GIS revenue. Mobile Solutions grew 8% due primarily to higher revenue from transportation and logistics business units. Advanced Devices had a very strong quarter, growing 22% driven by strengths in several businesses in the portfolio. By geography, in the first quarter, 53% of revenue came from North America; 26% from Europe; 14% from Asia Pacific; and 7% from the rest of the world. Growth rate by region were 5% in North America; 15% in Europe, 11% in Asia Pacific; and 8% in the rest of world. The growth in North America came primarily from Engineering and Construction and Mobile Solutions, offset by a decline in Field Solutions. Europe saw growth in all segments despite a broad-based and sharp revenue drop in Russia. Asia Pacific returned to double-digit growth, thanks in part to more favorable conditions in Australia. The impact of foreign currency fluctuation in the quarter was slightly positive. Q1 gross margin was a record 57.7%, up 2.3 points over the first quarter of 2013 driven by ongoing cost and pricing discipline and the continued evolution in our portfolio towards more software, software maintenance and subscription services. Q1 operating expense was $220 million, or 36.4% of revenue, versus 35.5% during the first quarter of 2013 due primarily to the Field Solutions revenue mix. As a result of our continued strong gross margin performance, first quarter operating income increased 16.2% to $128.2 million or 21.2% of revenue as compared to $110.3 million or 19.8% of revenue in the first quarter of 2013. The effective income tax rate was 20% and it compares to 10% in Q1 2013. The first quarter of 2013 unusually low tax rate included a onetime retroactive adjustment for the 2012 R&D tax credit. Q1 net income was $102.6 million, which was up 5% as compared to Q1 2013. Diluted earnings per share were $0.39 compared with $0.38 in the first quarter of 2013. The year-over-year increase was negatively impacted by the difference in tax rates that I just mentioned. We finished the first quarter of 2014 with $165 million in cash. We paid down and reduced our debt by $94 million during the quarter, ending with $665 million of debt at the end of Q1 2014 versus $758 million at the end of Q4 2013. Cash flow from operation was solid at $83 million for Q1 '14 as compared to $37 million in Q1 '13. Note that cash flow can be lumpy from quarter-to-quarter. And as some of you will remember, Q1 '13 cash flow was unusually low driven by higher working capital needs. At the end of Q1, accounts receivable was $398 million and day sales outstanding was 60 days as compared to 55 days at the end of Q4 2013 and 64 days at the end of Q1 2013. We're pleased with the overall quality of our AR portfolio. Q1 ending inventory was $267 million compared to $254 million at the end of Q4 2013 and $261 million at the end of Q1 last year. I will now turn to our guidance for the second quarter of 2014. We expect revenue to be between $605 million and $630 million with GAAP earnings per share of $0.22 to $0.26 and non-GAAP earnings per share of $0.38 to $0.42. Non-GAAP guidance excludes the amortization of intangibles of $37 million related to previous acquisitions, estimated acquisition cost of $4 million and the anticipated impact of stock-based compensation expense of $11 million. Q2 2014 GAAP and non-GAAP earnings per share guidance assume a 20% to 22% tax rate and approximately 265 million shares outstanding. Before I close, I'm glad to announce the appointment of Jim Todd to the role of Investor Relations Director, filling in the position left back by Willa McManmon when she left the company in February this year. I'll also take this opportunity to thank Lea Ann McNabb who very competently covered the key IR duties during that transition period. Jim has been with Trimble for 7 years, and he understands our business and the industry. During that time, he's led finance for our Engineering and Construction segment, and most recently, our Mobile Solutions segment. Jim has also played a key role in Trimble's mergers and acquisition program. I also want to confirm that Trimble will be hosting an Investor Day on June 4 in Westminster, Colorado from 8 a.m. to 2:30 p.m. and I hope you can join us. Events will be webcast and will include presentations by members of the Trimble leadership team. Additional details regarding agenda and logistics will be posted shortly on our Investor Relations website. With that, we'll now take your questions.
Operator: [Operator Instructions] Your first question comes from the line of Jonathan Ho of William Blair.
Jonathan Ho - William Blair & Company L.L.C., Research Division: Just wanted to get a little bit more detail in terms of the agriculture business. Can you maybe walk us through some of the potential swing factors that you see both near term and what you see supporting the longer-term double-digit growth just given some of the headwinds that we're seeing in terms of machinery?
Steven W. Berglund: Yes. So obviously, we were surprised in the first quarter that third quarter and fourth quarter last year were -- it appeared to be giving us a trend. And things did change in the first quarter. So I'd say weather, I hate to use this for the second year in a row, but weather did have a reasonably significant impact on results. So that was one thing not recurring. The question is whether we are able to make up the difference during the second quarter, but weather, without a doubt, particularly in North America, pushed -- in the case of the east, pushed the buying season late in the year. And in places like the Central Valley of California, the question of drought is whether there is any -- whether there's going to be any recovery this year. So that creates -- created an effect in the first quarter and creates some level of uncertainty in the second quarter. Russia, overall, for the company, accounted in terms of the midst of the low end of the revenue, Russia accounted for the majority of the shortfall overall at the company level, and has the potential to affect agriculture results here in the short term. Certainly hard to quantify. It all depends on how things play out, but certainly, right now, in Russia and Ukraine, both of which are relatively growing areas for us in agriculture. And people are obviously distracted at this point in time. And then I think that the relative equipment overhang, which we did not expect to be a principal factor for us coming into the year. Again, the thesis here, which has proved out to be true in the past, is that we're selling ROI, if you will. We're selling cost reduction. We're not selling capacity. And so our belief coming into the year was that we would be able to kind of sell into the marketplace in spite of kind of the overhang of the market in terms of equipment. That turned out to be not as true as we expected it to be. Now we've seen episodes like this in the past that have been comparatively short where the farm psychology kind of goes into a funk, if you will, for a period of time. And farmers hold back on their spending, which splashes over onto us, and then revise. So we don't know whether that will happen again but certainly, it adds the uncertainty. So I think that there are a number of factors there. The one that I brought up that is maybe harder to put a number around, but we are engaged with the distribution channel at this point in time, and talking about, let's call it, new generations of product that are coming, which are much more software and data focused. And the channel is a little -- is grappling with that change, and whether that had any effect on the short-term results or not is really hard to identify, but there is some level of uncertainty in the channel that may have had some operational effect on us in the quarter. So again, the uncertainties are pretty much North American. The rest of the world has variable performance but the issues are primarily North American, they're not global for us. And I think it's more a matter of uncertainty here in the short term. Longer term, I think, again, the drivers that have been there all along are still the drivers in the multi-year perspective in terms of fundamentally a -- in growing need for food, rising living standards in places like China and therefore, putting more demand on -- raising the expectations on agriculture. All those are still there. And again, our fundamental belief, as a company, is that both construction and agriculture are going to go through another technology -- or fundamental technology transformation based on the availability of data, and we are planning on participating in that. So I think that our longer-term view at the moment is probably clearer than our short-term or the next quarter sort of view.
Jonathan Ho - William Blair & Company L.L.C., Research Division: Fair enough. And just as a follow-up, you talked about potentially the second half being stronger than the first half. Just given your prior commentary around full year growth rates, I mean, clearly, it looks like it's a little bit more challenged at this point. How should we think about sort of the second half ramp, and what would you guys be sort of comfortable with in terms of those expectations?
Steven W. Berglund: Yes. I think, actually, it's kind of a -- there's a need to bifurcate the question at this point in time. So I think that relative to everything outside of agriculture, I'd say virtually all of the businesses outside of agriculture are fundamentally in stronger shape today than they were 1 year ago. More market certainty, market hasn't necessarily improved all that much year-to-year but I think there's more market certainty. There is a higher level of confidence on our part to be able to execute. We're sitting, I think, in a number of cases, on a stronger product portfolio. So I would say everything other than agriculture is, I would say, the second half of the year, looks better fundamentally than 2013 second half. And again, I'm expressing uncertainty relative to agriculture, so I'd say it's a little bit of a bifurcated world. And I'd hate to name a number, in fact, I don't think we named a number per se, but I think that depending on agriculture, the second half of the year, in some ways, should -- outside of agriculture, should be better than 2013 overall. And then I think it's all a matter of agriculture, and on that one, I think, we're expressing some uncertainty at this point.
Operator: Your next question comes from the line of Michael Cox of Piper Jaffray.
Michael E. Cox - Piper Jaffray Companies, Research Division: I was wondering if you could comment on the equity sale of the virtual site solutions that's part of one of your adjustments.
Steven W. Berglund: Yes. Francois can maybe be a little bit more explicit. But we announced early in the year a revised arrangement with Caterpillar. And one of the elements of that was that the VirtualSite Solutions joint venture, which was established in October 2008, VSS for short, Trimble had a 65% interest in that and Caterpillar had a 35% interest. VSS was primarily created to put, if you will, the machine in the context of the construction site. The original joint venture, known as CTCT, was formed in 2002 and was really focused on onboard machine controls. So what we did was we sold 15% of the joint venture to -- back to Caterpillar, so it's now a 50-50 venture. And there were a number of other elements. But the theme of that press release and the theme of the agreement was, really, to expand the ambition set of the joint venture into what we're calling the unified fleet. Basically, a technology solution for the entire construction site that is, if you will, equipment brand agnostic. And so that was the center of the arrangement with Caterpillar that was announced earlier this year. A part of that was kind of in the spirit of the collaboration between the 2 companies was to take this joint venture back to 50-50.
Francois Delepine: Yes. And just to kind of add on the financial impact. Part of that sale of this 15% included a -- recognizing a $15 million gain. That portion which is included in the GAAP income, but excluded from the non-GAAP income. And because that had also a big impact on the tax rate, you'll see that we also have the GAAP tax rate of 23%, which is higher than the non-GAAP tax rate that was used of 20%.
Michael E. Cox - Piper Jaffray Companies, Research Division: That's helpful. And I'm surprised to hear Russia can be such a big swing factor in the quarter and if I look at Europe, Asia Pacific, both growing double digits, I guess, you can only assume that Russia's incorporated into your rest of the world. But could you frame up the...
Steven W. Berglund: Well, it's not necessarily a big number. But with the range we've given on revenue was $610 million to $630 million, we were $605 million, so we were below the bottom end of the range. And between the weather and Russia, if those 2 things hadn't happened, I believe we would have been in the range. But -- so it's not a huge number, it's not actually material. But when you're talking about net change, it was what's called a factor of irritation. But I think the -- part of the issues for agriculture, if you look at the growth markets, I would declare China to be one of them. It's still small but growing at a very rapid rate. I would say Eastern Europe in general, but certainly Ukraine and Russia fall into that category of -- yes, starting from relatively low numbers but with the potential for generating significant double-digit growth. And so it's unfortunate that probably for the time being, kind of Ukraine and Russia are maybe on the sidelines a little bit in terms of being able to get the -- to realize our potential, both in agriculture and some of the other businesses in Russia.
Michael E. Cox - Piper Jaffray Companies, Research Division: Okay. And one quick one, I guess, maybe this is for the Analyst Day. But as you move more into software and precision ag, this is a crowded space. There's a lot of big players introducing software solutions. How do you feel like your position to win in that category?
Steven W. Berglund: Yes. But I -- fair question. I think, it's right now very much of a jump ball market. In fact, the market, as everybody is describing it, doesn't exist at this point in time. We're all, in some sense, selling a degree of futureware here. I think the relative Trimble advantages, if you will, against some players with a bigger balance sheet, it's, first of all, in terms of understanding what's going on in the farm. We're already there in a fairly practical sense. So we've been doing guidance there. We've been doing elements of the Connected Farm there in terms of variable rate. So we've got the sensor side on the front end, we've got the sensor side on the back end. We're very comfortable in what's called [ph] the big data realm. We're already tracking close to 2 million things around the world. So we're very comfortable in terms of the mobile space and kind of the big data realm. So we bring a lot to the party. I think it really is something of a test in terms of, okay, who can accumulate all the elements of the solution and bring them successfully with an effective go-to-market strategy, to bring it directly to the farmer. So I think all of us who are claiming some degree of ownership of the market have a number of questions to answer. But I think it's still very much early days and the market needs to warm up. And again, yes, we'd be happy to kind of explore it in more detail at the -- on June 4.
Operator: [Operator Instructions] Your next question comes from the line of Ian Ing of MKM Partners.
Ian Ing - MKM Partners LLC, Research Division: Yes. A couple more questions on ag here. You talked about inventory running high. Could you give us a sense of how many weeks and how long it takes to work down, I believe. Historically, you've talked about maybe 2 weeks in the channel, just not too much inventory.
Steven W. Berglund: Okay. I think I've probably, in some sense, led people to the wrong conclusion. I was talking less about our inventory in the channel. I don't think we're particularly overhung in the channel. The reference and that was probably not clear was basically to the big equipment that's in the channel is, I think, the equipment market -- big equipment market is overhung at this point in time, and that's created a fair amount of confusion and kind of pushback from the market. And it's easier for us when equipment is moving and so that took -- that's made it a more difficult situation for us. But I'm not referring to our inventory being overhung in the channel but the big ticket items.
Ian Ing - MKM Partners LLC, Research Division: Okay. But there's no sense of how many weeks. I think, historically, you've talked about 2 weeks maybe of retailers and resellers? Or...
Steven W. Berglund: Yes. I don't know what the number is. But I have no belief that we're anything other than in kind of normal levels in the channel.
Francois Delepine: Yes, that's -- I checked with the team and they confirmed that as well, yes.
Ian Ing - MKM Partners LLC, Research Division: Okay. And I think you did a good job explaining some of the factors impacting ag right now, weather and channel education. I guess, you're still guiding somewhat conservatively. I mean, you talked about your products being still pretty competitive in big data. Is there anything else happening? Maybe anything changing in terms of demand for ROI solutions or customers...
Steven W. Berglund: Yes. I mean, I think that what we're seeing here, if we're going to be more specific, I'll wait for the better forum which would be Investors Day in June, I think. But what we're seeing is -- yes, starting from a low base, but what we're seeing is a relatively rapid uptake in terms of kind of sequentially fairly impressive growth from quarter-to-quarter. So I think the market is stirring, the technology is beginning to move into the market. I mentioned this Irrigate-IQ product that we announced here in the U.S. within the last couple of weeks. That, for example, we may see some lift in the second half of the year from just that introduction because this is bringing new capability in terms of being able to manage irrigation and water use. So I think that there's an uptake. I think that, really, in terms of the short term, it's not going to swing our results here in 2014 context. But I think the uptake is growing. I think that there are -- again, I think that there are going to be a lot of issues for everyone participating in this agricultural next wave technology is the go-to-market aspects are going to be as important and conceivably more important than just the raw technologies and the capabilities. Is getting -- educating the farmer, building trust with the farmer, all of those sorts of things are going to be as important as any other factor here. And I think those are the -- that's the element that's easy to ignore. But I think it's absolutely going to be key. And that's going to take some time. That's not going to happen overnight. This is not going [ph] to be a consumer sort of product. So -- but I think that we've got a relatively continuous flow of new product, new features going to the field. And again, we're feeling comparatively good about the relative uptake. It's just not big enough yet to kind of offset these other market forces that we encountered in the first quarter.
Ian Ing - MKM Partners LLC, Research Division: If I could fit one more in. Question for Francois, you've been here maybe, what, 5 or 6 months now? And maybe you can compare and contrast Trimble's software business with your prior experiences at places like VMware, maybe in terms of target operating model, deferred bookings, mix of subscription and services. Just what's similar, what's the difference.
Francois Delepine: Yes, actually this is -- I think this is -- today's my fourth month anniversary. But I mean, obviously, the target customer and the types of solution that VMware is selling. VMware was really a pure-play software business that's selling into IT, very infrastructure driven. So kind of very, very different. I think what I see here is that software, which is part of the offering, see which solution that typically have a component of a hardware, software, we don't have much services yet but we're building that. In terms of deferred, if you look at the growth year-over-year, in deferred, if you look at the end of Q1 '13 to the end of Q1 '14, I think the deferred balance grew by 16% between those 2 points. And during that time, our revenue growth was probably more in the 10% range, on average. So you can see that it's starting to pick up steam, it's becoming a little bit more, a bigger part of our overall mix but it's kind of a slow and steady process as opposed to kind of radical process at this point. And again, because the focus is on providing the full solution. Is that helpful?
Ian Ing - MKM Partners LLC, Research Division: Yes. That's helpful. Deferred bookings growing faster than revenues so far. So that's a positive.
Operator: Your next question comes from the line of Andrea James of Dougherty & Company.
Andrea James - Dougherty & Company LLC, Research Division: This is just -- I guess, I'm trying to understand the business. How did you determine the valuation of the equity sale back to Caterpillar in Q1?
Steven W. Berglund: Well, let's just say it was not a linear sort of a process. Is the $15 million, I suppose, for 15% would lead you to a conclusion in terms of the valuation. But in reality, there was a relatively rich set of economics. In terms of coming to a specific number, we did use an outside valuation. So we brought in outsiders to do the valuation. But in terms of the relative level of collaboration between the 2 organizations and the nature of the relationship between the organization in terms of factory fit items and all of that, there was a, let's call it a comprehensive view on the set of economics. But as far as the point valuation of the entity, we did bring in an outsider to make both sides feel comfortable that we were coming to an objective answer.
Andrea James - Dougherty & Company LLC, Research Division: And then, it seems like the inventory you're talking about with the large machinery, they have a machinery in the ag channel. It's going to take a while for all of that to work through. And I was just wondering, I don't know, do you kind of look forward to 2015? I know it's kind of a far away out, but you already started talking longer term. Do you think there could be a headwind on 2015 as well?
Steven W. Berglund: Yes. I mean, I think potentially for the entire agriculture market. And -- but I would still -- obviously, I'm not as compelling today as I might have been 3 months ago on making this argument, but I would argue that, okay, in terms of let's call it, the cyclicality of agriculture, the cyclicality of construction, for that matter. Okay, we're exposed to it, we're not necessarily relatively total victims. So we do have the ability to sell solutions onto an existing fleet of machines. So if, for example, and I can't -- or probably won't quantify this all that particularly. But for example, we have tens of thousands of low-end guidance systems on farm equipment around the world. There is some reasonable possibility for going -- revisiting those same farmers and -- who've been educated on the low-end system and upgrading them to the full guidance system, for example. So I think that there may very well -- I'll leave it to the macro -- or the economist to kind of make their judgments on the overall agriculture market. And again, our problems are pretty much focused in North America, we're not seeing the same issues outside of North America. But -- so there could very well be headwinds for agriculture, in general, into 2015. But I think we have a reasonable ability as a company to, at least, resist those kind of macro headwinds, and I think there are any number of things we can do. And I think that I'm not just looking forward to the 2015. I'm hoping to look forward to the second half of 2014 on that as well. But again, I think that we were surprised in the first quarter, I think we're being cautious in the second quarter, but I think things will become clearer as we get deeper into the second quarter. So I'm not writing off 2014 for agriculture quite yet.
Andrea James - Dougherty & Company LLC, Research Division: And really just quickly, just because you're doing the Analyst Day on a different day, normally it's at the Dimension Conference. Is there going to be a change to the Dimension Conference or this is just the timing that has to do with the Analyst Day kind of thing?
Steven W. Berglund: No, I think the 2 events are independent in our view. We'll see what we do relative to investors with Dimensions. We're expecting quite a capacity problem so -- at Dimensions, given the venue. So I think it was our view that we wanted to have a kind of enough time to fully present the story and the June date seemed to be the right time to do it.
Operator: [Operator Instructions] Your next question comes from the line of Ian Ing from MKM partners.
Ian Ing - MKM Partners LLC, Research Division: Just in E&C, second quarter in a row, pretty good commentary on improvement and optimism and construction. So how sustained is that for the rest of the year as contractors get back to work, are there any potential disruptions?
Steven W. Berglund: Well, I think -- I mean, again, I think we've got to express a certain amount of qualification is that in terms -- I won't call the U.S. market robust, we're far from robust. But the U.S. market is really the only market that is showing kind of decent fundamentals relative to construction. The rest of the world is either kind of relatively poor, Australia still being in that mode. Europe still being in that mode, by and large. And so I think it may be a little bumpy just because there isn't a whole lot of tailwind from the economic perspective. But again, I think, that what we are seeing is an accelerating, embrace of the technology by contractors worldwide, so I think that we're on a secular path here that's somewhat, in spite of the economic environment and I would expect that to continue through the rest of this year and into next year. Obviously if, for example, Australia came and started showing some economic life, that will be a net plus to us, same would be true in Europe. So I think there are probably implicitly more upsides than there are downsides, although I'm sure there are some -- if some of these economies started to have difficulties we can see a slowdown. So I think it could be kind of a lumpy into the second half of this year, into 2015, for that matter, just given the state of economics. But I think a fundamental secular path is comparatively strong because technology is penetrating the market and we would expect that to continue. So I'd basically be fairly comfortable with the relative tone we're setting subject to those qualifications and would say if the economic environment improves, there could actually be some lift.
Operator: Your next question comes from the line of Richard Eastman of Robert W. Baird.
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: Steve, could you just speak for a minute or 2, on the mobile side of the business. The Field Services piece of the business, you had mentioned still was beginning to recover or fairly soft. Is the prospects and the visibility there better as the year unfolds that we can see some added growth from that portion of Mobile?
Steven W. Berglund: Yes, I think that within Field Services, which is now perhaps is now a -- kind of a minority element to the Mobile Solutions segment behind the Transportation & Logistics elements, which account for about 75% of it. I think that we have been taking a specific strategic path, which is aimed at the enterprise level customers. So I think, increasingly, the book of business as well as the pipeline are major accounts. And kind of names that you would instantly recognize, but because they don't like press releases, we don't get to talk about much. So I think the issue in Field Services, as much as anything else, is that, that tends to be a relatively long development cycle in terms of the sales process but because we're talking about fundamentally changing the way relatively a large enterprise does business and okay, that can take 1 year or 2 before it has worked through the process because it is so mission-critical. So I think certainly, in the first quarter that is part -- elements of pipeline that we thought were going to actually turn into revenue, got the way not -- did not disappear but simply got delayed. And so that business is that it's a lumpy. So I'd say longer term, it will be a growth business, but at the moment, it is waiting for some of these larger orders to come about. So...
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: Can I just -- also, just sticking with Mobile for a minute or 2. When I look at the op profit there, certainly a very positive year-over-year performance. But I'm a little bit curious, just seasonally, as we move from the fourth quarter into the first, is the decremental seasonally, which was relatively high at the EBIT line. Is that just -- is that mix or is that seasonality? Some costs in the first quarter versus the fourth or -- I'm surprised a little bit.
Steven W. Berglund: Yes, I think there are seasonal -- they tell me that there's seasonal elements in the Mobile business, and Transportation and Logistics that there are seasonal elements. Compared to construction or agriculture, they're relatively mild seasonal flows. I think, to some extent, what you're seeing at the margin line is when some of these purchase accounting effects for some of the acquisition start to come off, you're starting to see the more peer-based line come through. So some of this is likely the accounting but I think what you're beginning to see is the underlying baseline of what the business is capable of producing going forward.
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: And just one last clarification. As you walk through the ag piece of the business and just Field Solutions, in general. Obviously, no real visibility here short term but the commentary was still around the second quarter being better than the first. But comparisons get pretty easy. I mean, are you basically kind of suggesting that the possibility for growth in the second half is still there? Or I'm just trying to clarify your comments.
Steven W. Berglund: I think the range of possibilities at the moment, given the level of uncertainty is wider than it would be historically. So I think, I can give -- I could -- given the performance in the first quarter, I think we got -- I think we've pounded the stake in at the, let's call it the conservative end of the range. And I think that this business historically has shown some propensity to surprise to the upside. So I think the way I'd like to leave it is that the range of possibilities is comparatively wide at this point in time. But it's -- I'm not sure that we're willing to peg -- pound the stake in at anything other than the conservative element of the range at this point, until we better understand what's going on.
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: The median of the range is 0 though?
Steven W. Berglund: In terms of growth?
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: Yes, second half.
Steven W. Berglund: You're pushing me here, but let's just say that wouldn't be an unreasonable starting point to consider but again, I'll qualify...
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: I understand. Okay. I just want to make sure the range did span the positive side of things.
Operator: Your next question comes from the Andrew Spinola of Wells Fargo.
Andrew Spinola - Wells Fargo Securities, LLC, Research Division: I just wanted to follow up on the prior question about Mobile Solutions. Steve, I know you had commented in Q4 that there were some revenue recognition benefits in that quarter and then this quarter, it sort of looks like a more normal quarter. And just wondering what you think, now that we've seen a lot of the M&A kind of annualized, what do you think this business can grow over the midterm?
Steven W. Berglund: I think the -- okay, relative to Transportation and Logistics, which accounts for 75% of the segment, focusing on that has been the key driver, and then the other elements are interesting but require a longer story. I think, in terms of Transportation and Logistics, certainly, our long-term expectation in terms of being -- taking people net together with ALK, together with TMW and crafting out of those elements, let's call it a pretty comprehensive enterprise solution for the transportation company. I think that our longer-term -- our long-term view certainly is, let's call it double digits, something greater than -- for 10% in the long-term. I think we're in a -- to better tie those elements together, to work towards the enterprise solution that covers both the mobile element of the workflow as well as the enterprise level what's occurring back at the enterprise, tying those together, we're investing this year in terms of product solution, to better tie those 2 elements together. And I think 2015 is going to be the year that receives the benefits of that investment this year. But I think from a strategic standpoint, it is -- the expectation is fundamentally doubled -- double-digit, both for the T&L and, really, for the segment. And I think that the full strategy doesn't necessarily unfold on that until end of 2015 when we have, let's call it the full product capability.
Francois Delepine: I'm just going to add -- just to add one comment on the -- your Q4 question or observation. We did have some benefits from the 14th week into the subscription business that showed in revenues. That's the best way to look at it is, really, year-over-year.
Andrew Spinola - Wells Fargo Securities, LLC, Research Division: Just one other question for me. The Advanced Devices segment has become a pretty big swing from quarter-to-quarter. And I'm just wondering maybe you can shed a little light on the strength this quarter. And maybe even more importantly, what we should think about modeling going forward for both revenue and margin in that segment?
Steven W. Berglund: In Mobile?
Andrew Spinola - Wells Fargo Securities, LLC, Research Division: Advanced Devices.
Steven W. Berglund: Advanced Devices. Again, I think that -- okay, on a strategic basis, it's -- we don't view it as being a let's call it a significant growth driver for the company as it's constituted at this point in time. Of course, they keep surprising me to the upside on that and kind of keep making me a little bit of a liar. But I think that -- I'd say our growth ambitions in that segment aren't -- or let's call it, single-digit growth expectations. And the segment, to a large extent, depending on how we reflect the revenue sharing, elements of that segment, particularly ThingMagic, the RFID capability with Applanix, which is sensors but -- inertial sensors primarily, those are enablers for large parts of the rest of the Trimble. So they will grow based on the success from the end users market such as construction and geospatial. But I would say, generally, is if you take the 12 month financial model and apply that to a relatively modest single-digit growth factor, you probably -- that's probably, I think the way to view that business strategically. We'll let you know if our ambitions increase.
Operator: [Operator Instructions] Your next question comes from the line of Andrea James from Dougherty & Company.
Andrea James - Dougherty & Company LLC, Research Division: I was just wondering if you could talk about your drone offering in the international markets and just how that's gaining traction. Just because drones have been so much in the news and I guess, that's one of your better kept secrets, that you have a drone yourself.
Steven W. Berglund: Yes. We build airplanes. Yes, and the issue with drones are more particularly UAVs or any of the other nomenclatures. Yes, we can't fly them in the U.S. The FAA is still pondering the issue. And I think that elsewhere, okay, we are getting some traction. I think the whole issue of UAVs are getting a lot of attention and okay, there are a lot of potential applications out there. But I think that, to some extent, at this moment in time, we believe in the technology, certainly long term. But to some extent at this point in time, is still the solution in search of the problem. I think the places where we would expect the growth to come would be, first of all, on geospatial using drones outfitted with sensors to do a lot of what surveyors are currently doing, whether it's in the mines or whether it's determining volumes of -- piles of aggregate or looking for feature extraction or measurements from a survey standpoint. So our principal rationale for buying into the UAVs was in the geospatial realm basically as an augmentation to kind of conventional surveying. And the other, I think, with a great deal of potential in the future's agriculture. And again, it's a matter of getting the right sensors on the airplane to actually create the right solution for the right application and to monetize it. So again, the fact that we're not talking about it in kind of the mainstream results is that it's still relatively small, I think. But with a lot of potential, and I would say -- but that's kind of a 2 or 3 year story that's still unfolding and that there's a fair amount of development work that has to occur before we start talking about it regularly.
Operator: There are no further questions at this time. I turn the call back over to the presenters.
Steven W. Berglund: In that case, thank you for attending. We look forward to talking to you next quarter. Thank you.
Francois Delepine: Thank you.